Operator: Thank you for standing by and welcome to Motorsport Games Inc. Second Quarter 2024 Earnings Call. At this time, all lines are in listen-only mode. [Operator Instructions]. As a reminder, today's conference is being recorded. I would like to turn the conference over to Ben Rossiter-Turner from Motorsport Games. Please go ahead.
Ben Rossiter-Turner : Thank you and welcome to Motorsport Games second quarter 2024 earnings conference call and webcast. On today's call is Motorsport Games Chief Executive Officer, Stephen Hood and Chief Financial Officer Stanley Beckley. By now, everyone should have access to the company's second quarter 2024 earnings press release filed today after market close. This is available on the Investor Relations section of Motorsport Games' website at www.motorsportgames.com. During the course of this call, management may make forward-looking statements within the meaning of US federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Except as required by law, the company undertakes no obligation to update any forward-looking statement made on this call or to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. Please refer to today's press release and the company's findings of the SEC including its most recent quarterly report on Form 10-Q for the quarter ended June 30, 2024 for a detailed discussion on certain risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. In today's conference call, we will refer to certain non-GAAP financial measures such as adjusted EBITDA as we discussed the second quarter 2024 financial results. You will find a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures as well as other related disclosures in the press release issued earlier today which is also available on the Investor Relations section of Motorsport Games' website at www.motorsportgames.com. And now I'd like to turn the call over to Stephen Hood, Chief Executive Officer of Motosport Games. Stephen?
Stephen Hood: Thank you everyone for joining this conference call today. Once again it has been a productive and busy period at Motorsport Games in the course of following the launch of our latest release, Le Mans Ultimate, in February this year. This game very much remains our top focus and we're pleased to have delivered one major update, four patches and 19 hot fixes since the launch phase in order to bring additional features and improvements to the title for our players. Our passionate development team at Studio 397 and have been working tirelessly to ensure that the momentum we gained did not go to waste and that the community supports the game through the early access process. We are delighted with the ongoing positive reception to our continued development of the title and this positivity has shone through in a new revenue stream launch just recently. On July 23rd we launched the first paid-for downloadable content pack or DLC for the game and despite Le Mans Ultimate still operating within its early access phase, the update for this new content has been encouraging. It is now clear there is a very core passionate fan base growing around this project with players eager for more content and more features in VR to collaborative co-op game modes and more. We are pushing ahead to deliver these enhancements as soon as possible. This has been underlined about our players purchasing choice. Alongside the single DLC pack we released the season pass. This season pass provides the ability to effectively pre-purchase four packs which included the one we released two weeks ago with a remainder expected in the following three quarters for a discount worth around 25% of the final price. We are delighted to relay that almost half of all purchases were in favor of the larger more expensive season pass. This of course helps to further fund development of the game they are clearly heavily invested in. We had anticipated the season pass to account for 5% to 10% of purchases whereas in reality as of today it counts for around 46% of purchases. In terms of the overall sales of this DLC content, I'm happy to report that already around 13% of Le Mans Ultimate users have purchased this content once again underlining the community sentiment surrounding the product. All of this has been achieved with no paid marketing budget thus far we've predominantly relied on our own internal messaging efforts supporting materials on social media platforms a good old-fashioned word of mouth. It shows the quality game with quality content has a place in today's market and suggests that we can attain much more with a product still in its infancy. I maintain this has all of the necessary ingredients of a strong racing franchise with continued product refinements we are convinced that the time will soon come to add fuel to our sales efforts reaching new fans and expanding our unit sales. To this end we continue to explore how we might expand the platforms upon which Le Mans Ultimate is available and playable. During its early access period the game has exceeded our internal projections and this success has resulted in us making the decision to accelerate our mission to make this game available on more formats including Sony PlayStation and Microsoft Xbox games consoles. As part of our initiatives to increase revenue and support our development you may previously have heard me speak about potential for a subscription service to come online and we are now not far from bringing this online. With this we will be looking to add new and innovative features to the title. This subscription service will not be mandatory for our players, but we are confident that the passionate fan base will be excited to jump into what we will have to offer here. This will be the third revenue stream after core game sales and DLC. Our plan was always to deliver on three fronts and as promised the first two are operational with the third expected to arrive shortly. Away from Le Mans Ultimate efforts we still have a close and productive relationship with Kindred concepts around the F1 Arcade project, an experience that continues to provide revenue and opportunity particularly as they continue to expand now at three venues in the U.S. and UK. We are being recognized as the technology suppliers for this experience and have been approached by other players in the space those interested in utilizing our technology that has been shown to be a market leader and providing solutions for event centers and hope to capitalize on this opportunity. Additionally, we have undertaken efforts to improve our balance sheet and short-term cash needs which includes settlement agreement we reached with INDYCAR LLC resulting in a $2.9 million liability reduction. We also recently consummated a registered direct offering or RDO raising around $1 million in gross proceeds that we expect to use to fund our business and operations and development whilst we continue to explore all available revenue and investment avenues to deliver upon the evident promise that this company and its products have. With a streamlined business disentanglement from historic challenges, successful spending controls and a reinvigorated development operation producing arguably one of the markets most exciting racing titles for some years we're delivering what I promised on my return last year. Nevertheless our current product portfolio needs time and investment to flourish and as such we are exploring strategic alternatives. Now I would like to invite Stanley Beckley our Chief Financial Officer to talk about the financial results for the second quarter of 2024.
Stanley Beckley : Thank you, Stephen and good evening everyone. As with previous earnings calls I won't be offering any forward-looking guidance today. Instead I will focus on providing an update on our financial results and highlights from the second quarter of 2024. Revenues for the quarter were $1.9 million, up by 0.2 million or 8.2% when compared to the same period in the prior year. The increase in revenues was primarily due to higher digital game sales from the release of Le Mans Ultimate on PC in February 2024. Net income for the quarter was $2.1 million compared to a net loss of $8.2 million for the same period in the prior year, an improvement of $10.3 million. The increase in net income is driven by $6.9 million reduction in operating expenses related to headcount deductions, lower general and administrative expenses and no impairment of intangible assets recorded during the three months ended June 30th 2024 compared to the same period in the prior year. The increase in net income is also due to the recognition of a $2.5 million gain stemming from settlement and license agreement with INDYCAR LLC executed on May 17th 2024 and a gain of $0.6 million related to the settlement agreement with BARC TOCA LIMITED, the exclusive promoter of the British Touring Car Championship, signed on April 12th 2024. Furthermore, the company recorded a $0.3 million dollar gain from the sale on April 26th 2024 to Traxion GT Limited non-core asset. Net income attributable to Class A common stock was $0.87 per share of the second quarter of 2024 compared to a net loss of $3.04 for the same period in the prior year. We are reporting an adjusted EBITDA loss of $0.2 million for the second quarter of 2024 compared to an adjusted EBITDA loss of $2.7 million for the same period in the prior year. The improvements in adjusted EBITDA are the same as those discussed in respect of the change in net income for the period and comparative quarter as well as the decrease in stock-based compensation compared to the prior year period. As we list liquidity, this continues to be a key area of focus for the company. Net cash used in operations for the six months ended June 30th 2024 was approximately $1.4 million, representing an average monthly net cash burn from operations of $0.2 million, down $1.2 million when compared to the average monthly cash burn of $1.5 million for the six months ended June 30th 2023. As of June 30th 2024, the company had cash and cash equivalents of $0.5 million, which had increased to $1.3 million as of July 31st 2024. The increase in cash and cash equivalent was primarily due to $0.9 million in net proceeds received from a registered direct offering transaction that closed on July 29th 2024. Based on our cash position and the average monthly cash burn, we do not believe there is sufficient cash in hand to fund company operations over the next year and that additional funding will be required in order to continue operations. In order to address this liquidity shortfall, we are actively exploring several options including but not limited to additional funding in the form of potential equity and/or debt financing arrangements in your transactions. Strategic alternatives for our business including but not limited to the sale or licensing of our assets in addition to the recent sales of our NASCAR license and Traxion and further cost reduction and restructuring initiatives. Thank you all for your time. And now, I will turn the call back to Stephen for closing remarks.
Stephen Hood: Thank you, Stanley and thank you to those joining us today. We continue to work hard on our newest title Le Mans Ultimate including the services and content related to maximizing the opportunity here. We're very pleased with how this has been received by our players so much so that we can now accelerate plans to bring it to additional formats and reach a larger audience. Thank you for your time today.
End of Q&A: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line.